Operator: Ladies and gentlemen, thank you for standing by and welcome to The Eagle Bancorp Inc. Third Quarter 2019 Earnings Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I'd now like to hand the conference to your host for today's presentation, Charles Levingston, Chief Financial Officer. Please go ahead, sir.
Charles Levingston: Thank you, Victor. Good morning. This is Charles Levingston, Chief Financial Officer of Eagle Bancorp. Before we begin the presentation, I would like to remind everyone that some of the comments made during this call may be considered forward-looking statements. Our Form 10-K for the 2018 fiscal year, our quarterly reports on Form 10-Q and current reports on Form 8-K identify certain factors that could cause the Company's actual results to differ materially from those projected in any forward-looking statements made this morning. The Company does not undertake to update any forward-looking statements as a result of the new information or future events or developments. Our periodic reports are available from the Company or online on the Company's website or the SEC website. I would like to remind you that while we think that our prospects for continued growth and performance are good, it is our policy not to establish with the markets in the earnings, margin or balance sheet guidance. Now, I would like to introduce Susan Riel, the President and CEO of Eagle Bancorp.
Susan Riel: Thank you, Charles. I'd like to welcome all of you to our earnings call for the third quarter of 2019. We appreciate your calling in this morning and your continued interest in Eagle Bank. As usual Jan Williams, our Chief Credit Officer, is also with us this morning. Jan and Charles will be available later in the call for questions. I'm pleased to announce that we achieved another quarter of strong profitability with net income for the third quarter of $36.5 million. While that is a decrease from our earnings of $38.9 million in the third quarter of 2018 and slightly below the second quarter of 2019, our profitability still ranks among the highest levels of community banks in the United States. The return on average assets for the quarter was 1.62% and the return on average tangible common equity was 13.25%. We are also very pleased to report that with solid growth in loans, deposits and market share during the quarter, at September 30th, we reached $9 billion in total assets. For the quarter, the earnings were $1.07 per fully diluted share as compared to $1.13 per share in the third quarter of 2018. As mentioned in the press release, there were two significant non-recurring expense items, which somewhat offset each other. So that exclusive of those items, our earnings for the quarter would have been $37.1 million or $1.08 per fully diluted share. I will discuss the details of the FDIC insurance credit and the changes to our Board structure later in my remarks. Given the trend of margin compression across the industry, it is not surprising that the major factor influencing our profitability in the third quarter was the decrease of the net interest margin to 3.72% for the quarter. That was compared to 4.14% a year ago and 3.91% in the second quarter of 2019. Like many of our peers, our margin has been significantly impacted by the very difficult interest rate environment. We clearly felt the effects of the flat yield curve and the disconnect in the markets between the loan pricing and deposit rates. The decrease in the margin was attributable to several factors. The yield on our loan portfolio was 5.39% for the third quarter as compared to 5.69% in the third quarter of 2018 and 5.61% in the second quarter of this year. The decrease in loan yields was related to both lower LIBOR rates during the period, which directly impacts 41% of our portfolio and the lower rates on new loans booked during the quarter. Loan pricing is very competitive in this market, especially as we have become more selective in the transactions we are booking. For the third quarter, we were able to achieve excellent growth in deposits, while keeping our cost of interest bearing deposits at 1.89%, equal to the rate in the second quarter of this year. We reduced our composite cost of funds for the quarter by 2 basis points to 1.28%. Even with the strong deposit growth, we maintain DDAs at 30% of average deposit balances for the quarter. Most importantly, we have been seeing a softening in the pricing of deposits in the Washington region over the last couple of months and believe this bodes well for the fourth quarter. The margin in the third quarter was also impacted by a change in our asset liability mix. We work to increase our liquidity and reduce the loan to deposit ratio. During the quarter, we added $453 million in deposits without increasing our cost of funds rate. The additional funding was primarily core deposits, which went into now accounts and money market accounts. Average liquidity for the third quarter was $142 million greater than in the second quarter of 2019, and we had an average loan to deposit ratio of 102% for the quarter, which was an important objective. As we have said many times, at Eagle Bank, we do not focus on just one factor, but maintain our efforts on all of the key performance indicators. So offsetting the decreased margin were continued strong contributions to profitability from the very favorable efficiency ratio, continued loan and deposit growth, solid asset quality and non-interest income. The efficiency ratio for the third quarter was 38.34% for the quarter on a GAAP basis, as we continued our prudent approach to expense management. As I mentioned earlier, there were two non-recurring expense items we've recognized during the quarter; one was a credit of $1.1 million from the refundable FDIC assessment, which we had paid into the fund over nine quarters dating back to 2016. The credit was received when the total FDIC insurance fund reached 1.38% of insured deposits. If the fund remains above the 1.38% target level, we will receive an additional credit of approximately $600,000 in the fourth quarter of 2019. The other non-recurring items was an expense of $2 million for acceleration of share-based compensation, as certain directors resigned and the Board of the Company and the Bank were consolidated and reorganized. We will have some comments later regarding corporate governance. Exclusive of these two non-recurring items, the efficiency ratio for the third quarter would have been 37.95%. Even including the two non-recurring expenses -- expense items for the third quarter, the ratio of non-interest expenses as a percent of average assets was 1.50% as compared to 1.58% in the third quarter of last year. While judiciously managing expenses, we continue to make the necessary investments in systems and personnel and organizational structure as we grow towards a $10 billion regulatory threshold. Legal accounting and professional fees were $3.6 million for the quarter as compared to $2.7 million in the second quarter of 2019 and $2.1 million in the third quarter of 2018. Legal fees related to the ongoing investigations were $1.9 million for the third quarter of 2019 as compared to $700,000 for the second quarter of 2019. We expect that the legal fees related to these matters could remain at elevated levels at least through the end of 2019. In regards to these investigations, there isn't much we can say beyond the fact that we continue to fully cooperate with the various agencies. Most of the work is being handled by the law firms we have engaged. The efforts within the Company are concentrated with few members of senior management, so that we can continue to focus on providing exceptional customer service and growing the Bank. I might add that there are no regulatory restrictions on our normal operations of the Bank due to the investigations. As you know, we began our share repurchase program during the third quarter. We had previously received regulatory approval for that program. But before announcing and commencing the program in August, we went back to our primary regulator and verified there continued approval. We are very pleased with the results to-date of the share repurchase program. From inception on August 9th through September 30th, we repurchased 822,200 shares at an average price of $40.58 per share. Because the calculations are based on weighted averages, the program did not create much EPS accretion during the third quarter of 2019, but should have a more beneficial impact in the fourth quarter and going forward. The current repurchase program expires on December 31, 2019, and we will evaluate an extension of the program prior to that date. Another confirmation of the strength and consistent financial performance of the Company is the recent announcement by the Kroll Bond Rating Agency that they have reaffirmed our senior unsecured debt rating and BBB plus for the Company and A minus at the Bank level. During the third quarter, we generated loan growth of $167 million on a point-to-point basis, a growth rate of 2.3%. Average loans for the quarter showed an increase of 13% over the third quarter of 2018. The annualized growth rate of 9.2% we saw in the third quarter is in line with our strategic objectives. The total of new loans booked during the quarter was about $316 million, down from the average of $400 million over the last four quarters. The largest increase during the quarter was in CRE income producing loans with a very small increase in ADC loans. While we continue to see strong loan demand in the market, we remained selective throughout the credit approval and monitoring processes. Loan pricing is very competitive and we are sensitive to established customers with whom we can structure higher quality loan transactions. Eagle Bank was built through relationships banking and we continue to nurture and improve our bonds with our valued customers. The economy in the Washington area remains strong. While the pace of population and job growth has slowed from the torrid pace of 2017. It is steady at about 25,000 net new jobs per annum and the new jobs are in the higher income white collar positions. The tech sector continues to flourish in Northern Virginia. The most recent reports from the Fuller Institute at George Mason University indicate increases in both the coincident and leading indicators for the Metropolitan Washington region. Average deposits for the third quarter increased 13% over the third quarter of 2018 and 6% over the second quarter of 2019. As I mentioned earlier, we made a concerted effort to build deposits during the quarter to add liquidity and to reduce the loan to deposit ratio. We still prefer to stay relatively short -- relative short for the duration of our deposits. Average CDs as a percentage of average total deposits were 20% for the third quarter as compared to 19% at September 30, 2018. More importantly DDAs average 30% for the third quarter of 2019. Our ability to retain and grow deposits demonstrate the value of our relationship-first approach to banking. During the last several months, our customer base has been tremendously supportive of the Bank. We have had almost no account or deposit attrition during this period. I would like to commend our relationship managers, support staff and branch personnel who have done a wonderful job of communicating with and providing outstanding service to our customers. We are very pleased to note the recent reports from the FDIC on deposit levels and market share in the Washington Metropolitan area. For the annual period ending June 30, 2019, shown in the report, Eagle Bank had deposit growth of 10.5% while the increase for the entire market was 4.9%. We continue to grow market share, but with the share of only 3.2%, we feel there is still tremendous opportunity for organic growth and what many analysts consider to be the one of the best markets in the country. We increased our presence and visibility in the Washington area this week when we opened our new loan production office in Prince George's County. We are excited about the opportunities there and have staffed the new office with bankers who know that market. The key for us has been and still is that as we grow we retain a feel and high touch customer service of a community bank; that is what we continue to deliver through our relationship-first approach to the market. We are adhering to our basic ALCO strategy of maintaining a moderate position for rate sensitivity and avoid taking excessive interest rate risk over the long term. We are slightly asset sensitive with a short duration in the loan portfolio, and 60% of the loan portfolio in variable or adjustable-rate loans, about 41% of the loan portfolio is indexed to LIBOR, which definitely hurt us in the third quarter, but we feel that it is the correct long-term strategy. We do have floors in the pricing structure of 42% of our loans and they will start to kick if the short-term rates decline further. Non-interest income was a plus for us during the third quarter, as it grew to $6.3 million as compared to $5.7 million in the third quarter of 2018. The gain on sale of residential mortgages was $2.6 million for the quarter as compared to $1.4 million in the third quarter of 2018 and $1.9 million in the second quarter of 2019. This was the one area where we had a benefit from the decrease in rates during the quarter. The Bank continues to maintain solid credit quality. At September 30, 2019, NPAs as a percentage of total assets were 0.66% as compared to 0.20% a year ago and 2.45% at June 30, 2019. Non-performing loans were 0.76% of total loans at the end of the third quarter as compared to 0.22% at September 30, 2018, and 0.51% at June 30, 2019. The total of non-performing loans at September 30 was $57.7 million, which included one loan in the amount of $16.5 million, which was brought current shortly after the end of the quarter. Excluding that loan, the total of non-performing loans would have been 0.54% of total loans at September 30, and the NPAs would have been 0.48% of total assets. We continue to constantly evaluate the portfolio and take an aggressive approach to placing loans on non-accrual status. Net charge-offs for the third quarter of 2019 we're 0.08% as compared to 0.05% in the third quarter of 2018. On an annualized basis, net charge-offs were just 0.12% for 2019 year-to-date. The allowance for loan losses was 0.98% of total loans at the end of the third quarter. The provision expense for the quarter was $3.2 million, consistent with our allowance methodology, the current economic climate and our minimal charge-off history. At September 30, 2019, the coverage ratio was 128%; 173% excluding the cleared loans as compared to 452% at September 30, 2018, and we believe that we are adequately reserved. Since our last quarterly press release and earnings call in July, we have had the opportunity to touch base with many of our shareholders and our valued advisors about the status of the Company. We have spoken about the realization that our Company has been changing from the smaller rapidly growing bank we were a few years ago to the more mature, perhaps a little slower growing, but still a high performing company. We have been working on and taking steps through the transition process for some time, in many instances, well before the retirement of Ron Paul six months ago and the new roles taken on by our Chairman, Norman Pozez and myself. Some of the activities you have seen in the last two quarters are the results of much planning and development, which we have now implemented. They include the payment of the cash dividends, which we re-instituted in the second quarter, are paying again for the third quarter and plan to continue. It also includes the share repurchase program, which we commenced in the third quarter. These two items are clear recognition that we want to provide a return to you, our shareholders, and ways beyond just share price appreciation. We are also committed to maintaining a sound organization in all aspects. In July, we announced the strategic reorganization of the Board, which combined with earlier changes to our committee structures will enhance the Board's ability to provide oversight of the Company as a larger organization. We are also revisiting our management committee structures so as to better coordinate all important strategic and risk management matters. We also had discussed with pride, the fact that the hit to the margin caused by the current interest rate market, we are still highly profitable, well capitalized and growing community bank. We were able to adopt the cash dividend and the share repurchase program because of our strong capital position. Even with the impact on capital of those programs over the past year, the total risk-based capital ratio improved from 15.74% to 16.08% at September 30, 2019. Over the same period the tangible common equity ratio improved from 12.01% to 12.13%. I'm going to close with one final but important statistics. Our profitability and capital management over the past year have led to growth in the tangible book value per share from $27.84 at September 30, 2018 to $32.01 today, an increase of 15%. Thank you again for joining the call this morning and for your continued support of Eagle Bank. That concludes my formal remarks. We would be pleased to take any questions at this time.
Operator: [Operator Instructions] And our first question will come from the line of Catherine Mealor from KBW. You may begin.
Catherine Mealor: I'm going to start with the margin and maybe dig into the deposit side. Can you talk a little bit about, you know, maybe what deposit cost have done in the most recent months or weeks just given the recent Fed cuts and your expectations for your ability to lower you may be seeing your money market accounts as soon as fourth quarter? Thanks.
Charles Levingston: Sure thing, Catherine, this is Charles. The deposit rates in our market have shown a little bit of softening here in recent weeks. That's something that we've learned in talking to other folks around the country, had happened in other markets, unfortunately in our market where all the banks here are so loaned up, the competition tends to remain fairly stiff although. Again, some of those stubborn rates are starting to soften up. So my expectation is that we will and we actually have already made changes to our money market rates and we'll continue to do so as a probability for another rate decrease looks pretty good at the end of this month. I think it's about an 86%. So I would expect there to be some savings in terms of funding cost going forward in the near term.
Catherine Mealor: So your money market right now or savings and money market of 1.85. Where would you say they are today?
Charles Levingston: We are just over 1% on the top tier money market accounts at this point and often you hear about this notion that once rates fall below 1%, it tends to change that landscape a little bit. So, yes, that's right where we are in our top-tier.
Catherine Mealor: Okay, So -- I'm sorry, right at 1% in that?
Charles Levingston: Just above…
Catherine Mealor: Say that one more time.
Charles Levingston: Just above 1%.
Catherine Mealor: Just above 1%. Okay, great. So, I mean -- so as we think about next quarter, I mean, directionally, do you feel like we still have more NIM compression as LIBOR still pushes loan yields down but we don't get a commensurate decrease in deposit costs quite yet. Just directionally, how you kind of thinking about where the margin goes from here?
Charles Levingston: Sure. Yes, I would not be surprised to see some additional compression in the margin in the near term. We do -- however, I would not expect them to be as dramatic as we saw between the second and third quarter. We feel pretty comfortable with our liquidity position where it is today, which certainly played a role. We do have CDs that on a weighted average basis have about a 12-month weighted average life and those -- we will be re-pricing those CDs that we put on over the last year, so we will be re-pricing. We also have -- as we talked about, our money market rates that have been brought down and re-pricing those deposits as rates continue to drop. We also have floors on our loans. So on the other side of the balance sheet, we do have a little bit of protection. I think another 25 basis point move and we will be pretty much sitting at the floors, and if there is yet another move down at the end of the year, we'll see the benefit of some of those rate decreases spilling into the 2020. So that's a little bit of color around my expectation for the margin. But yes, to your point, a little bit -- I wouldn't be surprised to see a little bit more compression but I would expect some stabilization going into '20.
Catherine Mealor: Great. Okay. And I'm -- how do you think about a fair pace for loan growth next year? It seems like you made a comment that you're now kind of transitioning to be highly profitable, but more matured company with slower growth than you have historically. So what level of growth do you feel like as appropriate this part of the economic cycle and given your size?
Susan Riel: Catherine, we are still projecting a high single-digit growth rate. So we think that we will be comfortable at.
Catherine Mealor: And within the high-single digit, can you talk a little bit about your focus on where you're pulling back in terms of loan types and where most of that growth will come from?
Susan Riel: I would say, we're being far more selective on construction loans. So we're not out of the construction lending business, but we're being far more selective than we have been; restaurants and hospitality, we're being very cautious with also.
Operator: Thank you. And our next question comes from the line of Casey Whitman from Sandler O'Neill. You may begin.
Casey Whitman: First, I just wanted to ask on the tax rate, that's ticked up over the last two quarters. So, is 28% a good rate to use going forward or could we see some relief?
Charles Levingston: Yes, I think, you know, in the fourth quarter, I would expect that tax rate to remain relatively around the same area. But a lot of those expenses associated with Ron's retirement and the lack of deductibility of those expenses will be lost going into 2020 and I think it will normalize back around the 26% area going forward beyond that.
Casey Whitman: Just thinking about expenses, so just look at maybe the salary and benefits line this quarter, if I exclude the one-time costs, you had a pretty nice relief there. I guess what do you attribute some of that decline to, and then I also just wanted to get a sense for how talent attrition has gone over the last several months through some of the outside noise? I mean, have you been able to keep all the lenders or just kind of give us an idea of how your talent attrition has gone?
Susan Riel: We have had turnover. I mean, we're in a business where there is turnover. We're always looking at bringing on people and there are people unfortunately that leave, sometimes that turnover is good. We have attracted some good people. We have a strong team in both the lending teams and the support areas and we're continuing to build on that. We are looking to fill some critical high level senior management positions and we have some good leads in that area also.
Charles Levingston: Casey, in terms of the cost, here we are kind of getting towards the end of the year end, and some of those incentive accruals that we're making are being trued up based on our expectation for production towards the end of the year, which leads to the result that you see in the financials today. That's part of it.
Casey Whitman: Got it. I guess, a bigger picture, I mean, do you think you can keep holding the efficiency ratio below 40% as you incur maybe some elevated costs related to going over $10 billion or with other continued IT expenses you guys kind of referenced? Or I guess, can you keep the efficiency ratio this low or is that should pick up a little bit?
Susan Riel: We think, Casey, that it may pick up a little bit, but we'll still be at 40% or below. We have spread the cost of going over the $10 billion mark over a period of years. So last year, we did have some, we did some this year, we will add some more next year. So we have been prudent in that and not taking the hit all at one time. So we do expect that the efficiency ratio will still be at a 40% or lower.
Charles Levingston: And also keep in mind, we are saddled with some of these additional legal expenses at this point that we hope to bring to a different use going forward in terms of those expenses. So -- in terms, again, growing towards that $10 billion, adding the infrastructure, adding people, growing out our risk management apparatus. So, yes, I would agree with Susan it 40% or below is the expectation.
Casey Whitman: Okay, great. I'll just ask one more question and let somebody else to hop on. Maybe, Jan, just a little bit of color on that that one non-performing loan that was brought current. How long was it on non-accrual, what was the loan type or location, any kind of color you can give us would be helpful?
Janice Williams: Sure, Casey. It was one loan in prime location on Wisconsin Avenue that had matured and wasn't promptly address -- was addressed. The documentation and the funding didn't come in until after the 30th. So it was never on non-accrual, but it was over 90 days at September 30. So we included in the over 90-day category. It's a 60% loan to value property. It's really a terrific location. So I don't have concerns from a credit stand point. We just weren't able to get it re-documented and cleared by the end of the quarter.
Operator: Thank you. And the next question comes from the line of Christopher Marinac from Janney Montgomery. You may begin.
Christopher Marinac: Thanks, good morning. Jan, I just want to continue along the same lines with you. What's new on the classified fund and criticized? Are those trends going to be similar to what we saw last quarter and do they kind of directionally follow what we saw in the NPAs at 9/30?
Janice Williams: There is not going to be a tremendous amount of shift, but there is a bit. You might recall that we had a number of loans that were included as a result of one of our customers that had a number of projects with us. The Hitt transaction, which you may have read about -- Todd Hitt, we're in good shape. But it's still in receivership that that those loans are being carried in that substandard category. We're also any time that a loan becomes non-performing or it goes over 90 days were automatically downgrading through a sub-standard level, so you're see that $16.5 million in there this quarter. Typically, we don't have a ton of migration at any given time, but one loan in the $20 million range can make a big difference in what our average risk rating is. It's down from roughly -- it's down about 1% in terms of the criticized and classified portfolio -- the average risk rate, I'm sorry, is down about 1%. The criticized and classified portfolio has grown by about $22 million in the last quarter. So a lot of it is going to be moving back out of there as we progress through these.
Christopher Marinac: So net-net, it sounds like you've got some incoming and some outgoing. But it's not materially. Got you. Okay, great. Thank you for that. I appreciate that. And Charles just quickly for you, does the wholesale sort of dependency get incrementally better because you have the deposit growth this quarter and then obviously the loan to deposit ratio just tick down; I mean, does that just sort of liquidity ratio is just get better because of the success in Q3?
Charles Levingston: Yes. I think you'll see that. We had a little bit of reduction as we measure our core deposits to now -- I think, as a result of the regulatory relief, the reciprocal deposits being included as core generally, we did see a little bit of improvement there. So, yes, I think that's the right view.
Christopher Marinac: Okay, great. And then last question, how do your typical prepayments work in this type of environment? Do they generally help you or does it create more of a turnover just with the customers wanting to refinance as rates go low? Just kind of curious on structurally if the way that you're set up sort of helps you with the customers..
Susan Riel: I think we generally get the first bite at the apple if a customer is looking to have their rate decreased either through refinance or modification. So we try to take a realistic look at the market and the customer and the particular deal, if it's on our risk-based return and our pricing policy, and whenever parkable, retain that customer looking at the full relationship. There are some times when customers are with us, say, through construction and stabilization and they are ultimately going agency; that's a situation where we may have rollover. I think in the past, you've seen that churn in the portfolio on the construction side. And one of the benefits to add in the income producing portfolio at a more rapid rate is that we do have a longer stabilization period; most of those loans carry prepayment penalties. So we're not as vulnerable on those either. We tend to retain our customers based on our relationships, if we can be competitive on the pricing.
Operator: And our next question comes from the line of Steven Comery from G. Research. You may begin.
Steven Comery: Hey. Deposit growth is really strong this quarter for you guys, kind of a big tick up from what we've seen in past quarters. Was there anything you guys were doing differently or was the market different or was it just a lot of wins came this quarter?
Charles Levingston: Yes. I attribute it to continual development of relationships with our customers. There's certainly a market element there as well. Folks are getting perhaps a little skittish about late cycle moving more into cash and that could certainly have a play -- played a role in some of that movement.
Steven Comery: Okay, thanks for that. And then the other thing that was really positive, I think, this quarter was that the tick-up in loan sales. Was there anything going on there other than like mortgage volumes were higher, so there was more there to sell or were you guys taking share; was there anything else there?
Charles Levingston: No, no. I think it was simply a product of tracking with that 10-year treasury; rates were down and volumes are up. So, yes, we did see some benefit from that this quarter.
Operator: Thank you. And our next question comes from the line of Erik Zwick from Boenning & Scattergood. You may begin. Erik, your line may be on mute.
Erik Zwick: With regard to the changes in the Boardroom this year, the reorganization and then more recently the departure of three members; two questions, I guess, first, are there any near-term plans to add any additional Board members, and second, what initiatives or priorities are top of mind with the Board today?
Susan Riel: We are always looking for new Board members and the skill sets that will help us to fill in some of the gaps that we might need on the Board. We have a candidate -- a strong candidate at this point that we're expecting to make an offer to in the very short distance. We don't have a goal on how many directors we would have. I mean, 18; we've always been told 18 were too many directors. So we don't have a goal for numbers. Just when the opportunity comes up to get a good qualified director, we will make a move on that.
Erik Zwick: Okay. And then in terms of, I guess, with the Board being smaller now, I mean, everyone, I guess, maybe gets a little bit more opportunity to kind of voice their preferences, I guess, any changes or any adaptations to initiatives or priorities that the Board is looking at today?
Susan Riel: No. I would say, we've always had outspoken directors. So even though we had 18, they were always very involved and outspoken and involved with the Bank. So, no, we don't have any problems with any of that. We are trying to just build the Board with the right skill set as we move into a larger organization and can better meet the expectations of the regulators and our shareholders with that Board.
Erik Zwick: Maybe just kind of one follow up there, as the Company does grow and become more mature, just a skill set that you look for change with a potential Board number or new hire?
Susan Riel: Not totally, but there are some like, now, we're looking at adding a risk committee, which as we move past the $10 billion mark, that is something that is recommended, not required. And one of the Board members that we recently brought on, Theresa LaPlaca, will head up that risk committee. So getting -- giving us the opportunity to bring on people that are qualified to do things like that is a key objective for us.
Operator: Thank you. And I'm not showing any further questions at this time. I would like to turn the call back over to Susan Riel for any further closing remarks.
Susan Riel: Okay, I want to thank everyone again for being here and attending today and look forward to talking to you at the next quarter.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.